Operator: Thank you very much indeed for your participation today. I'd like to now make a start of the financial results, the press conference for the second quarter of FY’2025. Let me introduce the participants today, Director, Executive Vice President, and the Representative Executive Officer, Mr. Shinji Aoyama; Director and Managing Executive Officer, CFO, Mr. Eiji Fujimura. Mr. Aoyama is going to present the outline of the results of the second quarter of FY’2025 and the full year outlook of the FY’2025, followed by Mr. Fujimura to present details of the financial results. Mr. Aoyama, the floor is yours.
Shinji Aoyama: Thank you very much for your understanding of our business activities as usual. Let me present our second quarter results of FY’2025. Starting with the highlights. Operating profit of the first half of the FY’2025 was 742.6 billion yen with operating profit margin at 6.2%. The unit sales on a consolidated automobile businesses enjoyed a steady sales of ICE and HEV models in North America, as well as the full-fledged start of the EV sales sells. We had additional sales of the 64,000 units year on year. Total units sales across the group declined by 155,000 units due to the reduction of the unit in China. Regarding motorcycle businesses, we had a favorable unit sales globally and had achieved the cumulative sales of two quarters reaching 10 million units. Operating cash flow after R&D adjustment was 1.2851 trillion yen, the same level last year. Regarding the full year consolidated forecast of FY’2025, despite the impact by strengthened incentives for EV sales in North America with the recovery of motorcycle businesses, we will keep the same forecast from the previous guidance. That is a 1.42 trillion yen as for the current profits due to the sales decline in China, a profit decline of domestic affiliates causing less investment or profits based on the equity methods, we will change the previous forecast down to 950 billion yen, less by 50 billion. With regard to the shareholders returns, we made a decision in the board of directors meeting today of interim dividend of 34 yen, and annual dividend of 68 yen, which will be maintained from the same amount from the previous forecast. As for the share buybacks, in addition to 300 billion yen, which we made a decision on, as of the May 10th, 2024, we have made a resolution to add up to 100 billion of the further acquisitions. Let me explain the situations of main market. For the automobile businesses, unit sales increased in Japan and the U.S. However, due to the impact by the growing new energy vehicle market, intensifying price competition in China and so on, the total unit sales declined below the level last year. For the motorcycle businesses, despite unit sales decline in Thailand due to the economic slowdown, we had a steady demand in India, incremental unit sales in Vietnam. By economic recovery, total unit sales exceeded year on year. And this is the financial result of the first two quarters of FY’2025. Operating profit was 742.6 billion yen, up by 46 billion yen year on year. Investment profit and loss based on the equity method was a negative 20.7 billion yen, down by 87.4 billion yen year on year. The profit attributable to the owners of the parents for the interim period was 494.6 billion yen, down by 121.6 billion yen. Next, regarding the consolidated financial outlook for FY’2025, we will maintain the forecast of operating profit of 1.42 trillion yen. Previous guidance still stands. The profit attributable to the owners of the parent for the year will be down by 50 billion yen. That is to be 950 billion yen. Forex assumption will be set at 143 and $4 for the second half of the year, and for the full year, 148 yen. Regarding the division's dividends, interim payouts for FY’2025 is 34 yen per share. Guidance for annual payout will stay the same at 68 yen and no change from the previous guidance. In the board of directors meeting held today, we made a decision of a share buybacks. We will execute it with the upper limit of 100 billion yen. Next, Mr. Fujimura will explain the financial details.
Eiji Fujimura: And next, I will explain the second quarter results details. First, the FY’2025 second quarter Honda Group six-month unit sales. Motor cycle business at 10,382,000 units, due mainly to year-on-year increase in Asia. Automobile business, 1,779,000 units mainly due to drop in Asia, in particular, China. Power products business, 1,653,000 units mainly due to drop in North America and Europe. The consolidated six-month financial results have already been explained. Next, the changes in profit before income taxes for the six months compared to the same period last fiscal year. Operating profit increased 46 billion yen. The change factors are as follows. Those sales impacts saw a positive impact on profit due mainly to increase in unit sales. Increase in incentives led to a 28 billion yen decline in profit. Price and cost impacts was positive due to pricing commensurate with product value resulting in a 268.6 billion yen profit increase. Expenses. Increase in personnel and outsourcing costs had a negative impact of 105.5 billion yen. R&D expenses increased 80 billion yen, negatively impacting profit. Currency effects was negative impact of 9 billion yen. Profit before income taxes declined by 137.3 billion yen due to a decline in unit sales in China, decrease in equity method profit due to drop in domestic-related companies' profit, and appraisal loss of foreign currency-denominated assets due to stronger yen compared to last year-end. Next, operating profit by business segment, 325.8 billion yen in motorcycle business, 258 billion yen in a motorcycle business, 162.7 billion yen in financial services business. Power products business and others saw a loss of 3.9 billion yen. Next, cash flow. The FY’2025 six-month free cash flow of operating companies, excluding financial business operations, was 372.3 billion yen. Net cash balance at the end of the second quarter was 3,492.3 trillion yen. R&D adjusted operating cash flows was 1,285.1 trillion. Next, the FY’2025 full year consolidated financial forecast. Honda Group motorcycle unit sales forecast is 20.2 million units, an increase compared to previous forecasts due to increase in mainly Asia. Automobile is 3.8 million units reflecting drop in Asia. Power products business, although we have reviewed the forecast by region, the last forecast of 3.66 million units remains unchanged. FY’2025 consolidated financial forecast has already been explained. Next, the change factors behind forecasted profit before income taxes. Operating profit, up 39 billion yen from last fiscal year. The change factors are the following: Sales impacts, although there is an increase in profit due to increase in unit sales. Increased incentives and other factors will result in a 170.5 billion yen profit decline. Price and cost impacts, positive effect of pricing reflecting increased product value will increase profit by 550 billion yen. Expenses, negative 68.5 billion yen. R&D expenses will increase by 125 billion yen. Currency impacts will have a 148 billion yen negative impact. Profit before income taxes will fall due to drop in unit sales in China and domestic-related companies' equity method profit. Since exchange rate is assumed to see the yen appreciate against the end of last fiscal year, there is appraisal loss of foreign currency-denominated assets resulting in 207.3 billion yen drop in profit. Next, changes from previous forecast. Operating profit forecast remains unchanged. Breakdown is as follows: Sales impacts due to increase in incentives among others, negative 99.5 billion yen. Price and cost impacts, positive 48 billion yen due to pricing commensurate to the product value increase. Expenses, positive due to a 2.5 billion yen cut. R&D expenses, negative due to 4 billion yen increase. Currency effects, an increase of 53 billion yen. Profit before income taxes, down 45 billion yen due to decline in unit sales in China, resulting in a negative equity method profit. Lastly, the forecast for capital expenditures, depreciation, and R&D expenditures for FY’2025 are as shown. This concludes my explanation. Thank you.
Operator: [Operator Instructions]. First question from Yomiuri newspaper, Mr. Nakamura. Please ask questions.
Unidentified Analyst: So, I have two questions. First one, I have a question about -- if you see in North America, the Prologue and the FX have already started on sale, and then the incentives are dragging your performance. As compared to the beginning of the year, what is the incremental incentives as of now? And in this situation, do you still plan to strengthen the EV sales over there? And the question two, so it is about your outlook. You're changing the forex assumptions to the yen depreciation direction. Please explain to me the backdrop. Of course, the presidential election, other situations might -- and other political situation might change the forex situation. How do you address that?
Shinji Aoyama: Thank you very much, Mr. Nakamura, for your question. The North America EV net sales recently, in those two quarters, first half performance of the net sales, we had about 20,000 unit sales less, fewer in the U.S., in North America. And in the second half, 60,000 more units are planned, and it will be about a little bit less than 80,000 unit sales to be included for the full year. And in terms of the incentives, I cannot give you the detailed numbers of those incentives. However, as compared to the original assumptions, we have about $7,000 per unit more spend on the incentives. And for this one -- for the second half this year, we are going to budget the same level of the incentives basically. And the question of strengthening of the sales in these situations, from the '26 model year, we are going to have the Honda EV designed and manufactured by Honda. Those will be on sale in North America. And in order to have good connections for this model currently sold, we are going to keep the momentum of the sales of the current EV models. That is the basic idea. Of course, we have to look at the basic market situation, incentives situation, plus how we address the regulations. Those factors have to be considered in order to have flexible activities. And then forex, Fujimura-san is going to address this question.
Eiji Fujimura: Thank you for your question, Nakamura-san. In the previous session, in the summer, we said 140 yen for the full year. That was the assumption we had, and then we didn't change from the beginning of the year. We said that it is going to be steady. But at that time, there were like 20 yen ups and downs, fluctuations of the forex levels at the time. And the assumption that -- 140 yen assumption, actually -- second half, 135 yen. That was the assumption we had in the first half period. But now, 145 yen for the third quarter and 140 yen for the fourth quarter. It will be about 142.5 yen or so for the second half. So, yen depreciation direction. And then, as compared to the time last time, we had a number of those rates down in U.S. and Japan as well. Those public interest rates are coming down. And also, actually those reduction of the rates is a little bit squeezed over time, and we have no idea what could happen for the presidential election. It is now being counted, and we have not factored in the presidential election matter in our forecast. However, those are the assumptions we have for this term. Thank you.
Operator: Thank you very much, Mr. Nakamura. Next question, Nikkei, Mr. Okinaga, please.
Unidentified Analyst: This is Okinaga from Nikkei. I have two questions. First, about automobile operating income, the fact that it's declining. Well, the North American business, hybrid is still -- even though it's doing well, you have inventory piling up. So, including EV, what do you see in regards to automobile consumption including inflation? So, what is the outlook of demand consumption in North America? That's the first question. And the second question is about the downward revision. So, you have the negative for the equity method profit. So, can you talk about the background? I think the major factor is China, but gasoline, cars, and also EVs, the current sales, and also the forecasted sales.
Shinji Aoyama: Yes, Mr. Okinaga. Thank you very much for the question. Thank you. Well, about North America, even with the -- the inventory is increasing, you say. Well, it's not necessarily the case. I think that looking at the current situation and also because some various measures have been taken for the market, it may appear as if the inventory is slightly increasing. But this is a one-time phenomenon. In regards to HEV, I think we are doing very well in terms of sales. Well, the overall market -- well, the U.S. market is about 60 million units per annum. This is the total market that we see. And so, we think that this will remain unchanged. But again -- well, depending on what happens with the presidential election, we have to see what will be happening. So, we have to keep an eye on the market developments. But currently, hybrid is doing well, we think. And I hope you'll understand that to be the case. And we also, in the second half, will be mainly promoting our sales of hybrid. Now, about the profit of equity method of the negative number that you see here. As I explained earlier, in addition to the decline in sales in China and related companies in Japan, there has been a decline. So, these two combined, that we are seeing this a negative profit of equity method. If Fujimura has something to add, I'll ask him.
Eiji Fujimura: Well, about the downward revision, well, it has been -- done with revise, the operating profit to 950 billion. In the second quarter -- if you look at the second quarter, well, it was 11.42 trillion. And we think that we can maintain this. But if you look at the others below that, about the profit equity method, as Aoyama has already explained, there is the impact of China. Well, from the beginning of the fiscal year, we have seen a decline of some 300,000 units or more. And so, that is one factor. Plus, one-time, this factor is the domestic-related companies. And again, this is derived from partially China. So, there's a negative coming from them. And so, there are some one-time factors involved here. And as a result, we have a 25 billion yen negative profit of equity method. And other than that, because of the currency fluctuation that we're seeing right now, well, for Honda Motor and also our subsidiaries overseas, they have, for example, the debts and bonds and also the foreign currency deposits. And they appraise -- we have to do the appraisal of these foreign currency-denominated assets. And so, there have been the laws pertaining to nonsales factors and therefore, the operating profit will remain the same. But we are seeing 50 billion -- these two together, resulting 50 billion or so. And also, there is a difference in tax systems in different countries. But I think that these two combined has led to a drop of 50 billion in net profit. Is that okay?
Operator: Thank you very much, Mr. Okinaga. Next question from NHK, Mr. Nishizono, please.
Unidentified Analyst: Thank you. I thank you for explanation. I have a question to Mr. Aoyama. So, in this financial results, how do you conclude the results? What is your taking? And then Chinese market impact and your reaction to that, could you explain on that, please?
Shinji Aoyama: I thank you very much, Mr. Nishizono. Well, it is difficult to say in one word how to take this situation now. But as compared to the numbers that we had expected, it is a little bit short of what we were expecting, to be honest. However, forex, not dollars -- not against the dollar, but the forex against the emerging currencies or Canada, Mexico, Argentina, Turkey, the currencies of those countries are kind of involved here. That sort of had a negative 30 billion yen or so because of the forex fluctuation, and then it wasn't expected in the beginning. It caused some fluctuation. And we would say this transient matter for the full year basis, but in the immediate three months for the second quarter, we had a quality cost -- warranty cost, which was a rather high warranty, 110 billion yen negative impact by the warranty expenses. And this is how I take it. And then actually, it was away from our expectations. And battery EVs incentives increased as I discussed earlier. And of course, we have factored in some of them to the negative side. However, we had a certain possibility, and we had anticipated to a certain extent for those matters, and it wasn't really a surprise to me in fact. And then, the unit sales reduction in China for instance, it was actually greater than we were expecting. The reduction rate was quite a fast against our expectation. And then also the business structure around the fixed cost. Every year, we have been working to reduce them at a high speed as well. So, all of those -- because of those actions that down sort of trend for the performance has sort of alleviated. And then I should have -- in North America, we have incentives. And in fact, actually, we don't spend as much as we were expecting for the incentives in North America. Plus, we had a good tailwind by the motorcycle business recovery. And that is good, too. And Chinese market, as I said earlier, NEVs, BEV, and PHEV, new energy vehicles, those types of the cars are increasing very fast. And at the moment, we do not have a competitive product in this end -- in this area. Therefore, we had to -- we try to reduce the fixed cost because of that. Thank you.
Operator: Thank you very much, Mr. Nishizono. Next, Toyo Keizai, Mr. Yokoyama, please.
Unidentified Analyst: This is Yokoyama from Toyo Keizai Weekly magazine. Can you hear me? I have two questions. Thank you. First is the balance between the first half and second half. Well, according to your revision and the second half, I think -- well, Mr. Fujimura has talked about the expenses increase, the decrease in the second half. And with this revision, you have, I think, made some changes. And Mr. Aoyama talked about the recall expense. But your thinking toward the balance between the second -- first half and second half. And also, the sales cost. So, I want to hear about this balance. That's the first thing. And second question about China. Well, in the beginning of the fiscal year, both of you, you were talking about a restructuring and optimizing production and also personnel. But what is the progress you're seeing so far? And currently, I believe that the pace of decline in sales is quite quick. And therefore, do you have any plans to rationalize? And how do you think about the production balance between Guangzhou and Dongfeng?
Shinji Aoyama: Yes, and thank you very much. Well, first of all about the balance between the first half and the second half of the fiscal year and the difference between the two. Well, as you pointed out, yes, in terms of the cost, it does tend to be that there will be -- it will be skewed more toward the second half. And this fiscal year 2025, again, we think that the same is happening. And especially, the R&D part, it does tend to increase toward the second half of the year. This happens every year. And this year, again, we are seeing this happening. Now, earlier, in the other questions, I partially answered what you've asked about in terms of warranty. Well, in the second quarter, we think that this is a one-time expense. But, yes, we will try to make this a more positive, the second half dealing with the warranty issue. And about the currency setting first half and second half, there is a 100 billion yen negative difference between the first and second half. And in terms of sales impact, it's a positive. That is our understanding. So, sales and also selling price and -- well seeing the price, which is commensurate to the value of the product, it will be a positive. So, in the second half, this will be an add-on. The negative will be the currency, 100 billion yen or so. And other expenses aren't included. That will be a negative part. I hope you understand it to be that way. Now about China -- well, in regards to China. Well, I have talked about this in different occasions, but at this point in time -- well, as you know, in China -- well, we have two joint ventures, and both will have new production capacity, dedicated EV factory with a capacity of 120,000 units per annum. One has already started. The others is to be started. And so, this will be an add-on to our conventional capacity. But at the same time, we had some 1.49 million units production capacity at the two joint ventures combined. And in the last year -- a little less than a year, together with our joint venture partners, we have been discussing what needs to be done, and 1.49 million -- and this will be reduced to 960,000. Well, yes, I'm including the lines which have yet to be suspended. So, during this FY’2025, it will be dropped to -- cut to 960,000. So, including the battery EV dedicated, we are assuming that there will be 1.2 million capacity. And of course, 1.2 million units is more than the demand, and so there will have to be some cuts made in the future. And internally, and with our partners, we are discussing what needs to be done. Well, about personnel cuts, well, yes, we are making some progress there. I won't give any specific numbers. But both for Guangzhou, as well as Dongfeng, for both, we have some several thousands of personnel cut, mainly, voluntary resignation. And so, that is the current status. Thank you.
Operator: Thank you very much, Mr. Yokoyama. So, next question, from Kyodo Tsushin, Mr. Okuda, please.
Unidentified Analyst: So, the ballot is being counted now in the presidential election, and there was a mention to the forex assumptions on. Mr. Trump would raise the tariff, and EV promotion can be reviewed and so on, possibly. And going forward, of course, who will win would matter. But what do you think is the potential impact to the businesses and how do you address such a situation? In the case, for instance, investment plans on EVs in the future, would that be impacted by the results of the election? And the other question, Nissan and Mitsubishi and yourself have collaboration programs. And what is the situation of the alliances? Mr. Kato from Mitsubishi said that they're going to sort of put together the ideas or plans by March next year. And then what is the situation? And also Mitsubishi, would they provide you the PHEVs to you? What is the options with them at the moment? Could you share with us as much as you can, please?
Shinji Aoyama: Thank you very much, Mr. Okuda. So, counting, we are casting a very keen eye on them, like yourself. And then who is going to win, whichever the case -- no matter the case, we are not necessarily taking the situation in a short- to mid-term perspective. We have a longshot perspective as well, especially with regard to the investments. Whoever the president could be, we should not be too much swayed around by them. We have our automobiles, small car, passenger car areas of the businesses. For that, the EV electrification BEV will increase in the long run. And in Ohio, in the state of the Ohio, we had the LGES joint venture, LHV batteries. And in Canada, we have a comprehensive value chain programs in Canada. So, those programs will be pushed forward basically. However, away from the presidential election, we have to look at the EVs market. Of course, we have a -- we would have our, for instance, investments on those equipments and so on, used in EVs. And investment can be looked at. And then of course, we will have flexible investment plans and executions as per the situations of the market. Therefore, the impact on the investment plans, the presidential election will have no impact on us. However, in terms of the influence by large, for instance, production in Mexico, quite a few moved or transported there from Mexico to the US, which will be subjected to the tariff for the certain period of time, which will be the area that is necessary requiring some actions because we cannot relocate the production sites all of a sudden. So, we have to see what happens, and what we can do. And the collaboration with the Nissan and Mitsubishi. So, we don't have any specifics like -- by when and what. However, PHEV, so on, system supply or the equipment supply, actually, we have nothing defined as yet as we simply keep our discussions at the moment. Sorry, I cannot give you the specifics as of now. Thank you very much.
Operator: Thank you very much, Mr. Okuda. Next question, please. Bloomberg, Mr. Inajima, please.
Unidentified Analyst: I have two questions. First, well, this has already been asked, but -- so, about the operating profit, the second quarter. What are the major factors of negative impact? So, you talked about 96.9 billion expenses. Can you give the breakdown of the expenses, please?
Shinji Aoyama: Mr. Inajima, thank you very much. About the second quarter only, the three months, right, and year-on-year comparison? Well, Fujimura has talked about the full year forecast, but let's have him talk about the likelihood of the forecast included.
Eiji Fujimura: Thank you very much, Mr. Inajima. Yes, so, year-on-year, your question is about the July, September, and you were asking about expenses, R&D expenses or just expenses?
Unidentified Analyst: Well, that included. Well, the big items. Yes, the big items compared to the previous year, can you list the big items?
Eiji Fujimura: Well, about the expenses, this is included in an annual but -- yes, so, PR and also, personnel cost, well, these are all included in the three months. And so, I think we were at cruising speed, so to say, right now. And earlier, there was the question about the impact on the annual. And I wanted to talk more about that. Well, these three months -- looking at these three months that's just ended, well, as Aoyama said, the warranty is about 80 billion. And annually -- well, at the time of this announcement, I cannot give any specifics as to which supplier, but still -- and we have not reflected this. And since we did not sign the memorandum of understanding, but it's supposed to has 30 billion. But I think that we can set this, and so this is not included in the forecast. And also, annually, there is a negative listed here. But I think, as I said at the outset because of the yen-dollar currency effect since we reviewed this significantly, this will disappear. And therefore, this 250 billion-plus result, we think that 360 billion or so should be the actual instead of 250 billion. Then [indiscernible] will be 6.6%. And the negative battery EV -- well, yes. And we are going to sell it in China and Asia. The drop in automobile sales with ICE and motorcycles, we want to offset that. So, we think that we can do this throughout the year. And so, based on that, we have the unchanged 1.4 trillion. So, the three months, as I said, number-wise, we -- I think our actual would be some 100 billion added on to what you see here is due to various factors that it's lower. Thank you.
Operator: Next question, Daniel-san from Reuters, please.
Unidentified Analyst: Hello. Daniel from Reuters. My question is also about the North American market, and some of the questions have already raised and I'd like to continue from there. Mr. Trump, in the election in the last few months, he mentioned about cars imported from Mexico and plans to raise the tariff there. So, he mentioned that a number of times. And then if he wins the election and if realizes his plan, what is its impact on your businesses? And how do you address on that in order to prevent the negative impact by that? Could you add some more comments on that point, please?
Shinji Aoyama: Thank you very much, Daniel, for your question. And again, the tariff on the Mexico -- import from Mexico, so the automobile production in Mexico, we have about 200,000 units over there in production, and 80% of those are exported to the U.S., about 160,000 units were sold. That's the exported to the U.S. and the impact could be -- in the business, over 160,000, which will be subjected to the tariff. And that is a big impact I think. And then it is not just Honda, GM, Ford, and other Japanese companies, Japanese OEMs. All of the companies are subjected to the same situation. And in short, I wouldn't think that the tariff will be imposed soon. After a certain discussions, it will be done. And will those companies be able to stop the production in Mexico right away? No, I don't think so. So, I wouldn't say the tariff will not be realigned. However, there will be lobbying activities and so on at that point. And of course, if the tariff is a permanent one -- I suppose it could be not permanent, maybe we would go for the production elsewhere, which is not subjected to the U.S. tariff that we could do it. Thank you very much.
Operator: Thank you very much, Daniel-san. And next question, Nikkan Jidosha, Mr. Mizutori, please.
Unidentified Analyst: Well, I think it was mentioned in the first question about the EV incentives in the United States. Well, Mr. Aoyama, you said that incentives were $7,000 higher than expected I think you said. But the current situation, if you look at the EV only, well the more you sell, the more the deficit I think. And that with the '26-year model you can generate profit even with EVs. Is that the correct understanding because it's Honda car? And also, in U.S. the CO2 credit, like in California, the revenue and its payment, what will happen if there is an increase in the number of EVs?
Shinji Aoyama: Mr. Mizutori, thank you very much for the question. Well, yes, the incentive was higher than expected. That is a fact. So, this fiscal year '25, against the original assumption, we think that it will be 100 billion yen or so incentive increase. So, that is what we're assuming right now. That is the current situation vis-a-vis FY '25. Now, as for next year and beyond, well, as I said earlier, basically there will be the environmental regulations, so we have to respond to those regulations and also profitability. The more you use incentives, this will aggravate the profitability. So, we have to think about how to respond to the regulation versus incentives, and we have to think of these two together. But from FY '26, we are expecting unit sales to increase. And there will be a sales momentum to a certain extent. So, we have to think about the unit and also the incentives and how to respond to the regulation. So, overall, we have to balance all these three. But with the FY -- well, the model year '26, a new model, whether we can generate profit, we'll work hard to generate profit with our new model. Well, as for the specifics, I cannot spell them out right now, but still, from model year '26, we want to work hard on that. And as for the CO2 credit, well, in the U.S., it's a bit complicated because the overall GHG, greenhouse gas emission, that's on one hand. And meanwhile, there is some states like California which are ZEV states, Zero-Emission Vehicle states. So, there are these two. Now, for the model year 2025, California, according to the ZEV Act, ACC 1 is the stage. And from the model year '26, it will be ACC 2. So, transition to the next stage which is more stringent. Therefore -- well, for the GHG, Honda meets complies with the requirement ACC 1 regulation, which will continue until model year '25. We have -- we are already selling the '25 model year. But up until ACC 1, we are complying right now. But ACC 2, well, we have to sell a lot of battery EVs to meet this ACC 2. And so, we have to sell, and that will start from model year 2026. And all automobile OEMs are facing the same situation. So, for this, of course, we will increase our battery EV sales. But as of now, if we do it as is, this will increase our deficit. So, what are we going to do? We could buy credits. So, keeping this possibility in mind, as I said, if we do that. And then, the unit sales and incentive and also regulation compliance plus credit. The selling -- buying of credits also have to be taken into consideration. So, there will be a lot of factors that we have to work on. Well, as for the details, I would like to talk about this at a separate occasion when I talk about how we'll respond to these different regulations. Thank you.
Operator: Thank you very much, Mr. Mizutori. Because of the time constraints, the next question is going to be the last one. Nakajima, Minami Jimusho. Mr. Nakajima, please.
Unidentified Analyst: Nakajima speaking. So, operating profit of your company is supported by the motorcycle businesses, but the Japanese motorcycle business is not doing well, and there are, some time, very soon, 50 cc. Small vehicle -- small motorcycles will be gone. Can we expect the profit in a short while in the near future?
Shinji Aoyama: Thank you for the question. So, let's talk about those 50 cc motorcycles. And we may be a little bit responsible for the society with regard to the 50 ccs. And actually, this 50cc category, so-called density category, actually for this category, it will be revived away from the 50 cc constraints in specific [indiscernible] of 25 cc or less with a four kilowatt or less sort of power. And with that kind of the motorcycle, the drivers with the -- that category license would continue to drive with the full automotive license. Regular 1 would allow them to drive the motorcycle below 125 cc that is going to be the same category going forward. And then as for the business of that, while we have a so-called Dream 10, the midsize, large size, or 155 cc categories, we have those areas -- businesses, which is very steady and good. Because of the COVID-19, we had a bit of an increase because of that for people who would take a tour riding the motorcycles. Such kind of boom had a kind of settled now, but we can do a good business. And we want to take a profit from the business of motorcycles like that in this area. And also, in advanced or developed countries including Japan, the profitability of the motorcycles are high. And I would like to see the continuous -- continuity of the profits.
Operator: Thank you very much, Mr. Nakajima. And with this, we would like to conclude our briefing session. And as for the documents, they are posted on our website.